Operator: Greetings, and welcome to the Joby Aviation Fourth Quarter and Fiscal Year 2025 Financial Results Conference Call and Webcast. [Operator Instructions] As a reminder, this conference is being recorded. It's now my pleasure to turn the call over to Teresa Thuruthiyil, Head of Investor Relations. Teresa, please go ahead.
Teresa Thuruthiyil: Thank you. Good afternoon and evening, everyone. Thank you for joining us for Joby Aviation's Fourth Quarter and Fiscal Year 2025 Financial Results Conference Call. I'm Teresa Thuruthiyil, Joby's Head of Investor Relations. We will begin today with prepared comments from JoeBen Bevirt, Founder and Chief Executive Officer; and Rodrigo Brumana, Chief Financial Officer. For the Q&A portion of today's call, we'll also be joined by our Executive Chairman, Paul Sciarra, and Blade's CEO, Rob Wiesenthal. Please note that our discussion today will include statements regarding future events and financial performance as well as statements of belief, expectation and intent. These forward-looking statements are based on management's current expectations and involve risks and uncertainties that could cause actual results to differ materially from those expressed or implied. For a more detailed discussion of these risks and uncertainties, please refer to our filings with the SEC and the safe harbor disclaimer contained in today's shareholder letter. The forward-looking statements included in this call are made only as of the date of this call, and the company does not assume any obligation to update or revise them. Also during the call, we'll refer both to GAAP and non-GAAP financial measures. A reconciliation of non-GAAP to GAAP measures is included in our Q4 2025 shareholder letter, which you can find on our Investor Relations website, along with a replay of this call. With all of that said, it is my pleasure to turn the call over to JoeBen.
JoeBen Bevirt: Thank you, Teresa, and thank you, everyone, for joining us today. 2026 will mark a key inflection point for Joby. After a year full of rigorous full transition flight testing and meaningful progress across every part of our business, we've begun to shift our focus from how and when we'll go to market to how many aircraft we can produce and where to deploy them. We are seeing unprecedented demand for what we are building, and we continue to benefit from remarkable support from governments, real estate developers and infrastructure partners around the world. We plan to carry our first passengers this year in the UAE as part of our 6-year exclusive access to the Dubai market. And here in the U.S., we expect the government's eIPP program to provide us with the opportunity to demonstrate our service in several locations also this year. Supporting that ambition, I'm pleased to confirm that the first FAA conforming aircraft is now ready to fly, and we have all of the aircraft we intend to use for TIA testing in production. Reaching this point is the result of years of for credit testing at both the equipment and system levels and is proof that our rigorous approach to design and certification is paying off. On certification, more generally, we continue to make excellent progress, posting a record 18-point increase on the FAA side of the Stage 4 of certification. This progress is evidence of both the FAA's commitment to certifying eVTOL aircraft and the maturity of our design. It sets us up to focus on the fifth and final stage of the type certification process as we look ahead to FAA pilots flying our aircraft later this year. And as we build momentum towards market entry, demand for our aircraft and our service has never been higher. Just this quarter, we completed a demo flight alongside Toyota at Mount Fuji and confirmed our participation in an Nomura-led real estate consortium that's working to bring air taxis to Tokyo. We signed an MOU with Red Sea Global and The Helicopter Company, a PIF-backed local operator to establish a test stone for pre-commercial operations in Saudi Arabia. We signed a letter of intent to sell aircraft and services valued at up to $250 million to Kazakhstan. And in Dubai, we completed our first point-to-point flight and announced the first 4 nodes in our initial network with 2 of those vertiports nearing completion at Dubai International Airport and the American University of Dubai. At home in the U.S., we signed an agreement with Metropolis to develop 25 Vertiport sites, and we partnered with communities nationwide to support applications for the eVTOL Integrated Pilot Program, or eIPP, championed by the White House. This program has the potential to materially accelerate the commercialization of advanced air mobility in the U.S. and has already created tremendous interest across the country, including in key markets like Ohio, Florida and Texas. Next week, we are expecting the DOT to choose at least 5 locations where mature aircraft designs like ours will be able to launch operations this year, helping make eVTOL real for the American public. The program is expected to allow commercial cargo and medical services as well as passenger operations, which could also be delivered commercially in due course. The eIPP program could not be a better time for Joby as we fly our conforming aircraft and enter the final stage of certification. It's also one of the key reasons that we've decided to scale manufacturing now so that we're ready to serve the incredible demand ahead. In January, we signed an agreement to purchase a 728,000 square foot production facility in Dayton, Ohio. This facility will complement our recent growth in California and will support our plans to again double production to 4 aircraft per month in 2027. Dayton was home to the world's first aircraft factory, and we're proud to carry that legacy forward as we build the next generation of aircraft just down the road from Wright-Patterson Air Force Base, famous for its commitment to aerospace innovation. Over the last 6 months, we've raised nearly $1.8 billion, which combined with our existing cash balance, gives us the capital we need to deliver on our plans for scaling production. And I'm pleased to say we enjoyed the support of investors, old and new, including continued support from long-term shareholders like Baillie Gifford as well as funds and accounts managed by Counterpoint Global at Morgan Stanley Investment Management for which we're deeply grateful. Their conviction in what we're achieving was matched by many of our other key partners during the quarter. With Delta Airlines, we met a key warrant milestone on the road to commercialization, after which they exercised the first tranche of their warrants as part of our deepening partnership. And just this morning, in Dubai, we debuted the Joby Uber in-app experience, showcasing how riders will be able to seamlessly book a Joby air taxi using the Uber app, building on last year's announcement that our Blade service will also be integrated into the Uber platform. Meanwhile, we continue to plan for a strategic manufacturing alliance with Toyota as we look ahead to scaling production. With the expansion of our California facilities, we redesigned our assembly footprint and production processes to align with Toyota production system principles. Through a nearly 50% reduction in the movement of people and parts, we're streamlining our composite materials production flows, improving efficiency and positioning our system for scalable growth. This quarter, we also flew our turbine electric autonomous VTOL aircraft for the first time, just 3 months after we announced the concept alongside a new partnership with L3Harris. This demonstrator builds on our fully electric air taxi platform and integrates a hybrid turbine powertrain alongside our Superpilot autonomy stack. Getting the aircraft airborne in such a short period of time is testament to the vertical integration that sits at the heart of Joby, and we look forward to taking part in operational demonstrations with government customers planned for this year. With all of this progress, 2026 promises to be a very special year for Joby and for our wider sector. America has been a world leader in aerospace innovation since the Wright Brothers' first flight. And in this, our 250th year, we have the opportunity to once again set the pace and the standard for the world. The U.S. government continues to lean in with bipartisan Aviation Innovation and Global Competitiveness Act helping ensure the FAA applies the critical certification and integration resources needed to bring advanced air mobility to market. The U.S. has also taken bold steps to modernize and accelerate upgrades to the nation's air traffic control system. While we've designed the Joby aircraft to integrate seamlessly into today's airspace, these improvements will help ensure the system is ready for us to scale our service. A couple of weeks ago, we demonstrated the potential of advanced air mobility in our home market with an aircraft bearing the logo of America 250, we flew from our base in Marina across the Monterey Bay, past our headquarters in Santa Cruz to land back where it all began for Joby in the Santa Cruz Mountains. That's a journey that I personally drive on a regular basis and which takes at least an hour longer and often much more on the ground. That simple demonstration was a powerful reminder of how quickly advanced air mobility can make a meaningful difference in people's everyday lives, and we look forward to completing similar flights in other cities across America this year as part of the eIPP program. Much like the early aviation pioneers who traveled from town to town showcasing the promise of flight, we'll be bringing advanced air mobility directly to communities across the country. By conducting flight demonstrations in early markets, engaging local leaders and giving residents a firsthand look at our aircraft, we aim to build excitement, deepen understanding and lay the groundwork for our future service. Before I hand it over to Rodrigo, I'd like to thank the incredible Joby team and our new Blade team members for a remarkable 2025. And as we look ahead to welcoming FAA pilots to fly our aircraft, carrying our first passengers and scaling our manufacturing, I'm confident that 2026 will be another landmark year for Joby.
Rodrigo Brumana: Thank you, JoeBen, and good evening, everyone. Q4 capped a year of substantial technical progress, and we entered 2026 with a stronger balance sheet and a clear capital framework. My focus is simple: fund certification, scale manufacturing and support commercial launch while securing our financial runway and preserving flexibility. As JoeBen said, Joby is at an inflection point in its 18-year history and committed to changing the way people move around. Given the maturity of our program, government support, global demand for our technology and our plans to ramp manufacturing, we took the opportunity to strengthen our balance sheet during the fourth quarter and after. We raised approximately $1.8 billion in net proceeds across Q4 and Q1, and we have positioned the company with the capital required to drive the next phase of execution and scale. This additional capital bolsters our balance sheet, giving us additional flexibility to advance certification, manufacturing ramp and commercial readiness without being reactive to short-term market conditions. At the same time, we will continue to allocate capital deliberately. Balance sheet strength does not eliminate discipline, it reinforces it. Now I'll present our fourth quarter and full year financial results in more detail. We ended the fourth quarter of 2025 with cash, cash equivalents and short-term investments totaling $1.4 billion, including $586 million raised through the quarter, reflecting net proceeds from our equity offering and ATM sales. After the quarter ended, we completed a financing that provided net proceeds of approximately $1.2 billion, further strengthening our cash reserves and positioning us well as we enter 2026. The fundraising attracted both existing shareholders such as Baillie Gifford and Morgan Stanley Investment Management and new shareholders with several institutions committing capital across both the equity and the convertible offerings. Our Q4 use of cash, cash equivalents and short-term investments totaled $157 million compared to $147 million in Q3. The $10 million increase was primarily driven by continued investment in certification and manufacturing readiness, including higher program spend to support TIA-related activity, market development activities, along with normal working capital movements and timing of supplier payments. Included in the quarter was approximately $40 million of property and equipment investment, reflecting facility build-out, tooling and production equipment as well as a $3 million investment in our first fully conforming FAA qualified flight simulator developed in partnership with CAE. The simulator is a mandatory component of certification in Part 135 approval. And because aircraft cannot be sold without an improved pilot training solution, it is directly tied to our ability to generate future revenue. Importantly, FAA qualified simulators take years to develop and require deep aircraft data integration. We begun this work in 2022 to ensure the time of delivery would be aligned with our entry into service time line. We plan to add a second full motion simulator later this year as we expand the Joby Flight Academy and build a strong pipeline of pilots to support high-volume commercial operations. This is a great example of how we are deploying capital thoughtfully, holistically and with a long-term perspective. For the full year 2025, use of cash, cash equivalents and short-term investments totaled $539 million, which was within our full year guidance, a testament to our capital deployment discipline. The use of cash in 2025 includes the impact of the Blade acquisition and integration costs. On a GAAP basis, we reported a Q4 net loss of $122 million, a $280 million improvement compared to $401 million net loss in Q3. The quarter-over-quarter improvement was largely driven by $302 million related to a favorable noncash warrant and earn-out revaluation, partially offset by $25 million in higher loss of operations and the netting of miscellaneous items. As a reminder, the fair value revaluation of warrants and earn-out shares is driven primarily by changes in our share price and can introduce significant noncash volatility each quarter. Revenue for the fourth quarter was $31 million, an $8 million increase from Q3, mostly driven by recognizing a full quarter of Blade revenue. The Blade portion of Q4 revenue was $21 million and other revenue was $10 million, reflecting a onetime nonrecurring revenue of about $8 million pertaining to our demonstration flights in Japan for the Toyota event in December. Total operating expenses for the fourth quarter, which include Blade, were $238 million compared to $204 million in Q3. The $34 million quarter-over-quarter increase was primarily driven by higher certification manufacturing spend, continued staffing to support program milestones and a full quarter of Blade operating expenses. Adjusted EBITDA, a non-GAAP metric that we reconcile to net income in our shareholder letter, was a loss of $154 million in the fourth quarter compared to a loss of $133 million in the third quarter or a $21 million increase in loss on a quarter-over-quarter basis. The sequential change reflects the revenue and expense dynamics I described before. As we move into 2026, our approach to capital is disciplined and milestone driven. We are managing our spending to optimize for certification progress, production ramp and commercial readiness. With our full year 2025 results complete, we are updating how we guide cash usage. For 2026, we will guide on a half year basis, which better reflects where we are with the program. We are transitioning from early-stage production into repeatable manufacturing. As we move up the production S-curve, investment decisions increasingly depend on rank performance, supplier readiness, tooling deployment and operational sequencing. We see this as a natural and positive phase of scale. For the first half of 2026, we expect to use $340 million to $370 million in cash, excluding approximately $33 million for onetime purchase of the Ohio building we plan to use for manufacturing. The majority of first half cash usage supports core S4 certification and manufacturing readiness. A smaller portion represents investments that can be sequenced based on milestone progress and commercialization timing. Our recent fundraising enhanced our cash position to execute this plan at pace. As JoeBen stated, we have many timely opportunities this year, including carrying our first passengers in Dubai and opportunities to begin commercialization in the United States in up to 5 states as part of the eIPP program. As certification progresses, production ramps and commercialization accelerates, we have the flexibility to stage levels of spend while maintaining capital discipline. Following our acquisition of Blade's passenger business last year, we are now providing full year revenue guidance. For 2026, we expect total revenue in the range of $105 million to $150 million with the vast majority generated by Blade. The Blade passenger business has operated seamlessly since closing with consistent service levels and customer demand. 2026 will remain a year of testing, learning and continued integration into Joby's broader commercial strategy. As a reminder, the Blade passenger business is highly seasonal with revenue typically peaking in the third quarter during the summer months. We are focused on maintaining operational consistency as we prepare over time to expand the service to incorporate electric air taxis. As we enter 2026, our priorities are clear: advance certification, scale manufacturing responsibly, prepare for commercial launch, deploy capital deliberately. We believe this approach allows Joby to continue to lead the market with both speed and discipline. Thank you for your continued support. Operator, please open the call for questions.
Operator: [Operator Instructions] Our first question is coming from Andres Sheppard from Cantor Fitzgerald.
Anand Balaji: This is Anand on for Andres. Regarding your revenue guidance for this year, I was wondering, can you give us a sense of how this is comprised? Is this almost all from Blade? And should we expect some seasonality around quarters?
Rodrigo Brumana: Yes. Thanks for the question. Yes, mostly Blade, like I said in the prepared remarks. And in terms of seasonality, it will peak during the summer months, particularly in Q3. One way to think about it, when you look at historically, Q2 plus Q3 together will be typically around 60% to 65% of the revenue mix.
Anand Balaji: Got it. And secondly, you're guiding cash use of about $355 million at the midpoint for the first half, and I realize you're not guiding for the year, but I'm wondering if you can help share how we should think about the second half since you're ramping up production? Should we expect a higher cash burn in the second half?
Rodrigo Brumana: Well, we're transitioning from a prototype manufacturing into a repeatable scaled production. That's primarily the reason that we are guiding. Let me elaborate. We are entering a production S-curve and productivity improves with each unit we produce. But we are very early in that ramp and forecasting the exact slope is challenging and less precise. Because of that, we do have visibility into the first half, so we're providing a high integrity first half baseline instead of a full year with early stage and less precise assumptions. As we progress and accumulate serial production data, we'll gain greater precision on the second half, and we will update later in the year as we get the ramp developed.
Operator: Our next question is coming from Chris Pierce from Needham & Company.
Christopher Pierce: There seems to be this idea out there that the S4 could may be underwhelmed from a passenger or luggage payload perspective. I just kind of wanted to give you a chance to kind of comment around that. And when you take your test flights, are you putting extra weight in there to confirm sort of the payload that the aircraft can carry? Or is it kind of coming from a mathematical equation at this time? And then how does Bags VIP fit into this equation as well?
JoeBen Bevirt: Thanks, Chris. This is JoeBen. So the -- we're really pleased with the way the aircraft has come together. Again, the aircraft that we are preparing to fly is the first aircraft that -- in the eVTOL category that has been built and is preparing for TIA flight tests. And we think this is a monster milestone both for Joby and for the industry. In terms of the capabilities, we've designed this aircraft for service around the metropolitan cities that we're hoping to serve, operating it, for example, layered into the Blade service. And we are very excited about its ability to serve that market. And in terms of the payload of the aircraft, that is something that we expect to -- we designed the aircraft for a pilot and for passengers, and that's our target. It may take us a bit of time to evolve into that, but we are very pleased with the performance and very excited about beginning the TIA flight test.
Christopher Pierce: Okay. On the eIPP commentary that you gave, I just want to understand, is there a chance for passenger flight in the U.S.? Or is that something investors shouldn't be looking for? Or is that sort of up in the air based on what you hear back in the next couple of weeks from the FAA?
JoeBen Bevirt: We've been hearing very positive inclinations on that. Again, that may phase in over time. But we see the eIPP as a massive opportunity, and we're very, very excited to be hearing more news very shortly on that from the FAA.
Operator: [Operator Instructions] Our next question is coming from Kristine Liwag from Morgan Stanley.
Jason Holcomb: This is Jason on for Kristine tonight. So Joby has been working closely with the FAA on air traffic control to be able to support higher volume in the airspace once we see eVTOLs receive FAA certification. Can you discuss your role in helping to solve this issue with the FAA and maybe provide some context on what's been solved already versus what work remains in progress?
Paul Sciarra: Thanks a lot, Jason. This is Paul. I'll pick this one up. Look, we are very excited about the now sort of bipartisan effort to modernize the way that air traffic control is managed. As you know, there was $12.5 billion that's been allocated as a sort of first tranche against that. And look, I think the majority of that is going to go to shoring up the existing system that we have. But the push that we've been making alongside others in the industry is to ensure that there is an opportunity for some of that money to go to next-gen air traffic control, essentially a system that would start with computers deconflicting the airspace and then the human steps in only if there's some sort of issue that's going on. We think that has huge implications for commercial aviation across the U.S. I mean, we really do think that we should treat our airspace as a national asset and maximizing its utility should be the name of the game. If we can bring down separations, that will increase safety, increase volume for both us and everyone else that's operating that airspace. And we do think that eVTOL has an important role to play. This is a category that is going to be operating from nontraditional airports where you don't have to worry about legacy equipage because there's not a big existing fleet. So therefore, we think it's the perfect test ground for some of these new air traffic control concepts. And we've been working with partners across the industry, including some of the folks that have been sort of tasked with the overall ATC modernization effort to work on the right sort of approach on that front. Now look, we think there's tons of runway with the existing aircraft, train pilots and seat using the existing airspace. But if we have an opportunity to help push the ball forward on a better air traffic control system, we absolutely want to be a part of that.
Operator: Our next question is coming from Austin Moeller from Canaccord Genuity.
Austin Moeller: So just my first question here. I guess you're expecting to fly the first conforming aircraft shortly. I know there were 5 others still in different phases of construction. So I'd love an update on what phases of assembly those are all in.
JoeBen Bevirt: Austin, thank you for the question. This is JoeBen again. Really pleased with the momentum that the manufacturing team is building. You're going to -- you can expect to see those -- the cadence of those coming off the line with increasing regularity over the next few quarters. But really, really pleased to see the maturity of the manufacturing line and the maturity of the conforming processes improving each and every day, and huge shout out to the team, so proud of the work that they've done and the work they're doing and also a shout out to all the DERs and DARs who have been doing phenomenal work and also to the Toyota team members who are working shoulder to shoulder alongside of us, both here and abroad.
Austin Moeller: Okay. And as we think about the FAA pilot starting 4 credit tests later this year, how should we be thinking about the FAA accepting the remaining 3% of the means of compliance? Would that happen around the same time period as that? How should we think about the cadence there?
JoeBen Bevirt: I think those elements are decoupled. But I think the really key element to highlight and something that maybe we don't spend as much time on is how vitally important all of the component and system level ground testing is. So in parallel to building the conforming aircraft for flight test, which gets a lot of attention, the team and the vertical integration that we've built on our testing process is a real superpower that we have, and the team has just been knocking it out of the park. So this is on the manufacturing side and on the testing side, manufacturing, building conforming test articles. And these test articles are frequently substantially harder to build than the flight articles because they have designed-in defects that have to get very prescriptively built that are different than the normal manufacturing flow. And then those test articles with those designed-in defects get tested according to very rigorous test plans that we've already agreed to with the FAA. Another thing that is really worth pointing out is the 18-point increase on the FAA side of Stage 4. This was a monumental achievement, the most progress that the FAA has ever delivered in the quarter for us. We're so, so grateful. It is a testament to the massive lean in and the attention that we've been getting and also all the hard work that the Joby certification team has done upfront to prepare all of these -- all the certification work and the test plans.
Operator: Our next question today is coming from David Zazula from Barclays. Our next question is coming from Savi Syth from Raymond James.
Savanthi Syth: If I might, with the commercial operations as stated in Dubai, I was wondering if you could share kind of general time lines and milestones that are being targeted for this year.
JoeBen Bevirt: Thank you so much, Savi. So the work is going really well in Dubai. The partnership with the RTA and the work with all of the regulatory bodies in Dubai and the UAE has been going very, very well. As you may have heard, we had a phenomenal event in Dubai today where we announced the integration -- our integration of the Joby air taxi service into the Uber app. And that was a really phenomenal example of the lean-in that we're seeing from all of our partners, so Uber, Delta and Toyota, are leaned into to a degree which they've never been leaned in before. I think this is one of the things that really makes Joby special is the strength of the partners we have and the degree to which they're behind us and excited about what we're building and excited to be shaping the future of transportation together.
Savanthi Syth: Okay. And maybe if I could follow up on just the payload comments in that it may take time to evolve. Is that a software kind of evolution? Or is that like just a battery evolution to solve for that?
JoeBen Bevirt: I would say that there are both elements there and as well as other upgrades that we expect to happen over time.
Operator: Next question today is coming from Amit Dayal from H.C. Wainwright.
Amit Dayal: So JoeBen, just on the UAE passenger flight expectations for the end of the year, like what certification requirements need to be followed to accomplish that?
JoeBen Bevirt: So this work is layering on top of all the work that we're doing for our FAA certification. So completing all of those component and system ground tests that I'm talking about and also building aircraft that are conforming and which we're ready to put paying passengers in. So we have all the pieces in place. As I said, the relationship with the regulators in Dubai and the UAE are really strong. And we think we're in a great position there. So yes, we think that -- we're very, very excited. And I would also highlight that in addition to Dubai this year, one of the reasons we're ramping manufacturing is because of the incredible demand that we expect to see from the eIPP local markets here in the U.S.
Amit Dayal: Understood. And then with respect to the vertical build-out here or in the UAE and other markets, how much of the CapEx will be shouldered by folks who are already sort of the developers, I guess? And do you need to -- or does Joby need to contribute to some of that investment as well?
Paul Sciarra: It's Paul. On the UAE specifically, all of the infrastructure is being built out in conjunction with the folks over at RTA. So you've seen, I think, the 2 sites that are currently well underway in terms of development. And there are a number of more that are also sort of coming online in that particular market. When it comes to the broader infrastructure question in markets outside of the UAE, look, we've got a firm footing of existing infrastructure that we can take advantage of from day 1. Actually, post the Blade acquisition, Blade has staffed 10-plus locations, many of which are in the eIPP geographies. So -- or what we expect to be the sort of eIPP geographies. So that's a really great place to sort of begin those operations. Now we announced additional partners where there will be opportunities to leverage their resources just this quarter. So Metropolis was announced, and we're going to be developing 25 additional sites with them. That's a large parking garage owner. They have almost 5,000 parking garages across the U.S. with many of those in these eIPP markets that we're going to be targeting in the short term. So we're going to be working with them to build the next leg of scale of infrastructure sort of beyond that. There may be certain sites where we're using our own capital, but we're going to be really thoughtful and lean far more on the developer ecosystem. And what's been really exciting, I should mention, particularly post-eIPP is that we now have sort of approximate date certain for eVTOL operations in some of these geographies. So we've had a real pull from developers or potential real estate partners that want to kind of get ahead of that sort of rollout, so more news soon on that front.
Operator: Our next question today is coming from David Zazula from Barclays.
David Zazula: Sorry about the difficulties earlier. Could you talk about the aircraft deployment plan this year, including for those in production, where you're planning on deploying and what the expected use is?
JoeBen Bevirt: Thank you, David. So as I spoke about, I think the massive challenge that sits before us is the manufacturing ramp that we're engaged in. And it's going to be a very significant lift. This is to get the TIA aircraft built and then to deliver aircraft for Dubai and aircraft for the eIPP program. But the most important piece, as I touched on, was completing the build on all the test articles. And so that really takes precedence on the manufacturing line is ensuring that each of those test articles is coming out in a timely way because that's the gate to getting FAA pilots onto the aircraft. So that's kind of the sequencing you can think about, but it is a huge lift that the manufacturing team is working through is to get that manufacturing ramped to build those test articles and then to build the aircraft for Dubai and the eIPP.
David Zazula: Very helpful. And then could I ask on the Uber side? How has the integration been on the Blade front? Have there been any challenges there? And then what do you think about the commercial opportunity with respect to that integration in this year and maybe into next?
Robert Wiesenthal: It's Rob's Wiesenthal, CEO of Blade. Thanks for the question. When this integration gets deployed, which we hope first half this year, when you want to get to the airport, you just have to kind of think about your Blade, not how you get to the departure lounge. It's simple and seamless. And you just literally, you book your Blade on the Uber app and an Uber ground vehicle picks you up and brings you straight to a Blade lounge, you check in and you're off on your 5- to 10-minute flight in New York to JFK or Newark. And we not only expect that this is going to result in growth for Blade airport, but as important, in the not-too-distant future, that helicopter icon on that vehicle selector, which will be a helicopter to start will be swapped for Joby eVTOL. And this is a competitive advantage that no other eVTOL OEM has. So we're really excited about it.
Operator: I'd like to turn the floor back over to Teresa for further questions.
Teresa Thuruthiyil: Thanks, Kevin, and thanks to all the analysts who asked questions today. This week, we invited members of our Reddit community to send in questions as well. We covered many of these already, but I'd like to get in at least one more if we can. And that question is, what's going on with respect to military and medical applications? How is Joby involved? Paul, do you want to take this one, please?
Paul Sciarra: Sure. Yes. So when we think about the overall eIPP footprint that's really set to get announced in just a few weeks, we know that there are going to be 3 components of that. One is going to be cargo, one is going to be medical and the other is going to be passenger. And we intend to obviously deliver aircraft against each of those use cases in as many of the eIPP sites as we're able to deliver against. We think the medical opportunity is a significant interesting sort of adjacency and frankly, one that has important community impact. So we want to make sure that we prioritize it alongside, obviously, these other 2 opportunities as well. Regarding the defense opportunity, look, we announced that we would be developing a hybrid autonomous version of the S4 aircraft for defense customers last summer. We progressed to beginning the flight testing of that variant over the fall, and we continue to work on preparing for on-site customer demonstration shortly, followed by off-site customer demonstrations at their facilities in the fall. I can say that the partnership between Joby and L3 is going great. And I think one of the big significant developments is that we've spent a lot more time with the core customers. So that includes folks like Army, Marines and then to our Navy. And I think we've gotten, and that is not just us, but also the folks at L3, increasing confidence that there are important capability gaps that this aircraft has an opportunity to fill. What I think is also important to note, and this kind of goes against some of the commentary that folks have been talking about, it's really about finding the right aircraft to fill those capability gaps. Folks don't care if it's a variant of a commercial product. And in fact, the focus of the Pentagon is around dual-use technologies that can be very flexibly fielded. So we think we're in a very strong position with a proven aircraft, with proven manufacturing that is ready to ramp and a strong partner on the missionization front to deliver on this increasingly interesting opportunity.
Operator: We reached the end of our question-and-answer session. And ladies and gentlemen, that does conclude today's teleconference and webcast. You may disconnect your lines at this time, and have a wonderful day. We thank you for your participation today.